Executives: Gregory A. Waller - Vice President of Investor Relations & Strategic Analysis Donald R. Lindsay - Chief Executive Officer, President, Director and Member of Executive Committee Ronald A. Millos - Chief Financial Officer and Senior Vice President of Finance Réal Foley - Vice President of Coal Marketing Ian C. Kilgour - Chief Operating Officer and Executive Vice President Dale E. Andres - Senior Vice President of Copper Robert W. Bell - Former Chief Commercial Officer of Coal and Vice President
Analysts: Mitesh Thakkar - FBR Capital Markets & Co., Research Division Orest Wowkodaw - Scotiabank Global Banking and Markets, Research Division Lucas Pipes - Brean Capital LLC, Research Division Oscar Cabrera - BofA Merrill Lynch, Research Division Alex Terentiew - Raymond James Ltd., Research Division Greg Barnes - TD Securities Equity Research Kerry Smith - Haywood Securities Inc., Research Division Brian Yu - Citigroup Inc, Research Division Steve Bristo - RBC Capital Markets, LLC, Research Division
Operator: Ladies and gentlemen, thank you for standing by. Welcome to Teck's Second Quarter 2014 Conference Call. [Operator Instructions] This conference call is being recorded on Thursday, July 24, 2014. I would now like to turn the conference call over to Greg Waller, Vice President, Investor Relations and Strategic Analysis. Please go ahead.
Gregory A. Waller: Thanks very much, Melanie. And good morning, everyone. And thank you for joining us for Teck's Second Quarter 2014 Investor Conference Call. Before we start, I'd like to draw your attention to the forward-looking information on Slide 2. This presentation does contain forward-looking statements regarding our business, however, various risks and uncertainties may cause actual results to vary. Teck does not assume the obligation to update any forward-looking statement. And at this point, I'd like to turn the call over to Don Lindsay, our President and CEO.
Donald R. Lindsay: Thanks, very much, Greg. And good morning, everyone. I'll start with a brief overview and then go through the highlights from our second quarter results. Ron Millos, our CFO, will then provide additional color on the quarter from a financial perspective, and we'll conclude with the Q&A session when Ron, and myself and a number of additional members of our senior management team will be happy to address any questions that you might have. So starting with a brief overview on Slide 3. We continue to execute well in difficult market conditions, particularly in Steelmaking Coal where oversupply continues to impact prices. Teck itself though is in solid financial position with $2.1 billion in cash at June 30, and no substantial debt due over the next 3 years. We have also further strengthened our liquidity this quarter by increasing our Revolving Credit Facility to USD 3 billion, and this gives us approximately $5 billion of liquidity, while we navigate the current market conditions. Last quarter, we increased our focus on reducing our planned operating costs and capital expenditures, and these efforts are reflected in our updated full year guidance with lower cost guidance for each of our coal and our copper business units. We've also increased our full year production guidance for zinc in concentrate given the strong performance in the first half of the year. Of course, we also remain mindful of returning cash the to shareholders. We did pay another semi-annual dividend of $0.45 in July, which is $0.90 on an annualized basis. And we also repurchased $5 million worth of shares in the quarter and renewed our normal-course issuer bid in place for the repurchase of up to 20 million Class B shares through July 2015. Turning to Slide 4 and the operational highlights from our second quarter. We had a good quarter with increased throughput at 10 of our 13 operations. Production was up 400,000 tonnes in coal and 2,000 tonnes in copper. We also made significant progress in our ongoing cost-reduction efforts, which Ron will speak to in more detail later on. Profitability was down overall, primarily due to significantly lower coal prices. However, our gross profit before depreciation and amortization was up 61% in zinc to $140 million, reflecting the improving market fundamentals and higher zinc prices, and, of course, zinc prices have continued to perform since the end of the quarter and hit $1.08 per pound today. Looking at our profitability in the quarter on Slide 5. Gross profit before depreciation and amortization was $633 million compared with $871 million in the same quarter last year. EBITDA was $558 million and our profit attributable to shareholders was $80 million or $0.14 per share. As you can see from this chart, there are just a couple of adjustments to make to calculate comparative round figures for the second quarter. Including these items, adjusted profit was $72 million or $0.13 per share compared with $197 million or $0.34 per share in the same period last year. This decline was primarily due to significantly lower coal prices, partially offset by the positive effects of the stronger U.S. dollar, reduced corporate overhead and reduced interest expenses and positive pricing adjustments. I'll now review our results by business unit, starting with Steelmaking Coal on Slide 6. Sales were up 500,000 tonnes to 6.8 million tonnes. However, oversupply conditions in the market continued to impact our average realized price, which declined 23% to CAD 122 per tonne. Overall, our revenue declined by 17% to $833 million. Given current market conditions, it won't surprise you that we are currently running below capacity. Production did increase, though, by 400,000 tonnes to 6.4 million tonnes, with record production in the first half of the year at both Elkview and Greenhills. Our cost reduction efforts have continued in coal and are producing significant results; however, price increases for key inputs continue to put pressure on cost. Site costs were up $3 per tonne in Q2 to $53, given higher prices for diesel and natural gas and partially due to the strengthening of the U.S. dollar and to a higher level of maintenance activities, including annual shutdowns at 5 of the 6 operations. We are still tracking better than our original guidance range for the full year, and this is reflective of the impact of our cost-reduction efforts against our planned expenditures. As a result, we are now lowering our site cost guidance for the full year to $52 to $57 per tonne. And transportation cost of $37 per tonne were also below our original full year guidance, and so we are now lowering that to $37 to $41 per tonne. So overall, gross profit, before depreciation and amortization, declined by $244 million to $200 million. In addition, in July, we entered the commissioning phase of the West Line Creek water treatment plant, and we also submitted our Elk Valley Water Quality Plan to the BC government, so we're very pleased to reach that threshold. Looking at coal markets on Slide 7. There continues to be too much Steelmaking Coal in the market. You're all aware that there have been numerous cutbacks and closures announced since the start of the year. By our account, it is now approaching 20 million tonnes. It is important to note, though, that only a fraction of these cuts have actually been implemented at this point. As you can see in the graph on the left, the bulk of the impact won't take effect in the market until early 2015. While most of the cuts are coming from the U.S., Australia has also announced some cuts, but other Australian producers have significantly increased production and exports as well. At the same time, Chinese imports are down. We think in the order of 10 million tonnes of additional cuts need to be made and implemented to bring the market back into balance. Current market conditions could persist for a couple of quarters or longer in the meantime. Looking forward to Q3, prices have been agreed to with the majority of our quarterly contract customers at USD 120 per tonne for the highest quality products, and we expect our coal sales to be at or above 6 million tonnes. Turning to a review of our base metals businesses, starting with copper on Slide 8. Sales were similar to last year, but our average realized copper price was 9% lower in U.S. dollar terms. Revenue declined 6% to $650 million. Copper production rose slightly over the prior quarter -- prior year quarter, despite 25% reductions in production at Quebrada Blanca, which was anticipated in respect of mine plan, and also Antamina due to the expected lower ore grade. This was accomplished, that is the rise of the significantly higher production in Highland Valley, as we start to see the benefits from the mill optimization project. Total cash unit cost before byproduct margins are down about 5% year-to-date, but lower byproduct prices and volumes are resulting in fairly higher costs overall. Our cost-reduction efforts have also been successful in copper, and we are reducing our full year cost guidance to USD 1.65 to USD 1.75 per pound, net of by-product margin. In addition, the SEIA to extend the mine life of the current capital producing operations to 2020 was submitted in July and the approval process is assumed to take 12 months, but it could be quicker if all goes well. Looking at Slide 9 and the Mill Optimization project at Highland Valley. Commissioning of the floatation plant is now complete, and we continue to be very pleased with the performance of the new plant. The benefits of the project are reflected in the substantial increase in mill throughput, which exceeded the design capacity by 10,000 tonnes per day in Q2, averaging 140,000 tonnes per day. Further process optimization will be done through the second half of the year. Turning to our zinc business unit on Slide 10. I should first note that Antamina and Duck Pond's zinc-related results are reported in our copper business unit, as zinc is considered to be a byproduct of both operations. And as I mentioned earlier, the fundamentals for zinc are improving, and that is reflected in the profitability of our zinc business unit. Gross profit before depreciation and amortization increased 61% to $140 million, driven by higher prices, by the impact of a stronger U.S. dollar and increased sales, and then partially offset by higher profit-based royalties. Over the first half of the year, total production of zinc in concentrate, including contributions from Antamina and Duck Pond, is up 4% compared with the same period last year. As a result, we are increasing our full year guidance for zinc in concentrate production to 600,000 to 615,000 tonnes for the year. Production of refined zinc and lead, each rose 2,000 tonnes in Q2. We are seeing the benefits of Trail's new acid plant, which was commissioned in May and has been operating at design rates since June. The Red Dog shipping season commenced on June 29, and we are off to a record start. For the full year, we expect shipments of around 1 million tonnes of zinc concentrate and 184,000 tonnes of lead concentrate. And our Pend Oreille lead-zinc mine in Washington State is being prepared for a research. The project is on schedule for first ore by year end and it's on budget. Pend-Oreille's capacity is 44,000 tonnes of zinc in concentrate annually. Looking at base metal markets on Slide 11. LME prices for copper, zinc and lead are all up in the quarter. In particular, zinc prices are now well above last year's levels, reflecting improved fundamentals. LME stocks has been falling, copper inventories have fallen in the last 12 months by about 500,000 tonnes. Market expectations for 2014 have moved from a significant surplus to a balanced market or a slight deficit. Some analysts believe that we are already in deficit in the copper market. LME zinc inventories are down significantly as well with a 550,000 tonne drop over the past 18 months, including 264,000 tonnes in the first half of this year. We expect the zinc concentrate market to also move into deficit this year, which will limit refined production and push the metal market further into deficit from 2015. Turning to our Energy business unit on Slide 12 and an update on Fort Hills. Construction is on schedule and spending is consistent with the project budget. Engineering and procurement is almost 50% complete. Major contracts are in place or in final negotiations, with pricing substantially as expected. The construction manpower is approximately 2,000 strong currently, and we'll continue to ramp up to 2016. First oil is still expected as early as 2/4/2017. So I'll now turn it over to Ron for provide additional color on the quarter from a financial perspective.
Ronald A. Millos: Thanks, Don. I've summarized our changes in cash for the quarter on Slide 13. Cash flow from operations was $520 million, and we spent $355 million on capital projects and capitalized stripping were $199 million in the quarter. We paid $57 million in principal and interest payments on our debt and repurchased $5 million worth of our Class B shares. After these items, distributions, non-controlling interests, foreign exchange translation and other changes in working capital, we end the quarter with cash and short-term investments of approximately $2.1 billion. However, we did use $259 million to pay the semi-annual dividend on July 2. And as Don mentioned earlier, we have further strengthened our liquidity this quarter. We increased the revolving credit facility by $1 billion to USD 3 billion, and extended its term to July 2019. As a result, we now have approximately $5 billion of available liquidity. Our pricing adjustments for the second quarter are summarized on Slide 14. Base metal markets improved from the first quarter -- into the first quarter resulting in positive $31 million in pricing adjustments in the second quarter. Copper was up $0.14 and zinc was up $0.10. These adjustments are included in our income statement under Other Operating Income and Expense. And as a reminder, refining and treatment charges in the Canadian-U.S. dollar exchange rate should be considered in your analysis of the impact of price changes in the adjustment, and you should also consider taxes and royalties when analyzing the impact on net earnings. And the chart on the right side of the slide represents a simplified relationship between the change in copper and zinc prices and the reported settlement adjustments to provide you with a good estimate of our pricing adjustment each quarter. Turning to Slide 15 and our operating cost and capital expenditures. We began a cost-reduction program in the second half of 2012 and exceeded our initial goals. We achieved about $360 million of annualized reductions to the end of 2013. Last quarter, we announced that we were increasing our efforts on reducing our cost in capital spending to ensure that we maintained our competitiveness in light of the current market conditions. We've realized an addition $150 million of annualized reductions year-to-date and a further $50 million is targeted for 2014. We've reduced our workforce by 535 positions so far, and will achieve the remaining workforce reductions towards our target of 600 positions this year through attrition where possible. We've also achieved significant cost reductions in all areas towards our target of 5% across our other operating costs, and this includes G&A and other cost reductions out of the corporate office. In addition, we successfully transferred the Contech coal restart project to care and maintenance. We're also on track for reducing our sustaining and development capital by approximately $150 million. We have deferred equipment purchases and reduced spending on certain development projects where it makes sense. We are investing in our Pend Oreille mine restart. This is a high-return project with a relatively low capital investment of approximately $45 million. All production from Pend Oreille will be processed at Trail. The combined benefits of reducing transportation costs and enhancing concentrate fees [ph] provides us with approximately $15 million of annual benefits that cannot be obtained from other sources of concentrate. Looking at our updated guidance for the full year on Slide 16. I won't speak to these in detail, don had spoken to them on his previous comments. But we thought it would be helpful just to summarize them on one page, so these are our updated guidance that is disclosed throughout the quarterly news release. And with that, I'll turn the call back to Don for closing comments.
Donald R. Lindsay: Thanks, Ron. So looking at Slide 17 and a summary of our near-term priorities. We are first focused intensely on cost reduction, as you heard. We are prudently managing our capital spending profile, and we are executing the planned restart of our Pend Oreille lead-zinc mine. So with that, we'd be happy to answer your questions. And please note that some of our management team members are on the line in different locations, so there may be a pause after you ask your question as we sort out who's going to be answering from where. Okay. And with that, back to you, operator, for questions.
Operator: [Operator Instructions]
Donald R. Lindsay: Operator, while we're waiting for our first question, I'd just like to make a comment. Many of you are aware that because of Canada's anti-spam legislation, we had to go to ask people to confirm that they wanted to be on our email distribution list, and I suspect we probably lost a lot of you through that whole process. So if you do want to, or if you didn't get an email of our press -- of our news release, and you want to be on that distribution list, please go to our website teck.com, of course, and you can get registered there. Thanks, very much.
Operator: The first question is from Mitesh Thakkar of FBR.
Mitesh Thakkar - FBR Capital Markets & Co., Research Division: My first question is just on the coal markets. Obviously, a lot of production cuts have been -- have happened, but hasn't really seen a rebound. When do you think, from a timing standpoint, the inventory build and stockpiles and some of the mines which have not been idle, how should we think about kind of seeing that pent-up supply kind of taken off from the system?
Donald R. Lindsay: Okay. Réal Foley, over to you.
Réal Foley: All right. Thanks, Mitesh. So that is a very good question, and it's one that is difficult to give exact timing on. I guess, as we explained in the presentation, we've seen around 20 million tonnes announced year-to-date. However, there's been less than 3 million tonnes implemented. So in the second half of the year, we're expecting to see more cuts being implemented. That will help to improve the demand-supply balance in market. And as demand continues to improve as well, that will help. It's taking some tonnes off of the market.
Mitesh Thakkar - FBR Capital Markets & Co., Research Division: Great. And just on the copper side, if you think about the way the markets are right now, it's definitely looking better than a quarter ago. And some of the expectations for oversupply has kind of been pulled back a little bit. How do -- how should we think about QB2 and Relincho? And are those contingent upon the recovery in the coal market to fund those CapExes?
Donald R. Lindsay: Well, just working backwards, Relincho's credit [ph] report, we aren't really spending anything to speak on Relincho at this time. We finished the feasibility study and put the project on hold. There's just a minor bit of optimization work taking place, so there'll be no decisions on that for quite some time. QB2 is our priority and we've got a fair bit of disclosure in our quarterly about that. And we will have to wait to get the results from having filed the SEIA on the current operation before we can then proceed to file the SCA on QB2. And so it'll be probably at least 2 years before we could get to a construction decision on QB2. So I think an awful lot will happen in the copper market between now and then.
Operator: The following question is from Orest Wowkodaw of Scotiabank.
Orest Wowkodaw - Scotiabank Global Banking and Markets, Research Division: I wanted to -- I was hoping to get a little bit more color on your cost-cutting initiatives. Specifically, in your revised guidance for coal and copper, how much of the cost reduction initiatives is already captured in that guidance? And does it capture, for example, does it capture everything to date, but not the additional $50 million that you're targeting? Or what could we anticipate?
Donald R. Lindsay: Ian Kilgour, over to you.
Ian C. Kilgour: Thanks, Don. Yes. The -- revised guidance includes the cuts that we've made to date. But in general, it doesn't include the cuts that we expect to continue to achieve as the year progresses, and that's why we've kept a bit of a range there. We're continuing to work with all the sites in each of the venues to reduce our costs. The efforts are being coordinated centrally but, obviously, driven by the mine sites. And we are endeavoring to make sure that the improvements that we make at one mine site are transferred to all the other mines, so that those learnings and achievements being made there are useful for all of their mine sites. And we're doing our best to make sure that we're moving forward on all fronts.
Orest Wowkodaw - Scotiabank Global Banking and Markets, Research Division: Okay, and then how should we reconcile that then to your -- in your first half of the year, you did on-site costs of $53 a tonne and your guidance for the year is $52 to $57. Does that -- are you just being conservative with that new guidance? Or do you really anticipate cost to increase in the second half of the year? And I do understand you're heading into maintenance season here, but any color would be appreciated.
Ian C. Kilgour: I guess we're not able to foresee all the circumstances that might arise in the second half of the year. We've talked about the market, and we can't predict exactly how that's going to work. So that changes in the market may affect our ability to -- or our desire to produce at the same level as we're producing now, which may affect cost. But I guess in all predictions here, you try to take into account various contingencies, so you leave a little bit of conservatism in there.
Orest Wowkodaw - Scotiabank Global Banking and Markets, Research Division: Okay, fair enough. And then a final question for me. In the quarter, I think there was $27 million of expenses related to sort of care and maintenance cost that was in the Other line. Is that -- do you anticipate that to be a recurring number? Or is that more of a one-off?
Ronald A. Millos: The care and maintenance dropping off. It was with the closure of -- or the, I guess, the setting quintet off and not doing the work there is the major saving that's going to be going forward. So it's a little bit heavy at the front end of the year because the decision to put it on complete hold had not been made at the time, Orest. Now that it's on hold, the amount of work that's being done there is going to be reduced.
Orest Wowkodaw - Scotiabank Global Banking and Markets, Research Division: Okay. We should see the expense decline materially going forward?
Ronald A. Millos: That's right. And then there was a bit of care and maintenance at the Pend Oreille operation in the first part of the year as well. And with that operation now moving towards start-up at the end of the year, those costs won't be care and maintenance anymore.
Operator: The following question is from Lucas Pipes of Brean Capital.
Lucas Pipes - Brean Capital LLC, Research Division: And on that note, I had kind of 2 questions. And one, first, could you remind us in terms of what your sustaining capital targets are for your various business units in 2014? And then how sustainable you think those levels of spending are going forward considering there may be a little bit at the lower level spending right now versus the life of the operation?
Donald R. Lindsay: Okay. That may be a combination of Ian and Ron. And Ian, why don't you start perhaps on the second part of question? Or if you want to answer the whole thing, that's fine too.
Ian C. Kilgour: Okay. Thanks, Don. Sustaining capital, I guess, is that a low level in 2014 in previous years because of the, in particular, in the coal business because of the considerable investment we've made in improving our mine inputs and processing plant capability. So we have a target of around 250 million to 300 million for this year and expect to maintain that for next year as well. And then, we're going to have to see how -- what needs we have following on from that.
Ronald A. Millos: Just the sustaining capital guidance for this year is approximately $600 million, Lucas. I don't have the breakdown handy by site, but the bulk of it, a couple $100 million or so would be at the coal operations. And that doesn't include the deferred stripping as well as another $700 million for deferred stripping that goes into the total capital spending.
Lucas Pipes - Brean Capital LLC, Research Division: Okay, okay. That's helpful. And then a quick follow-up. Really nice boost to your liquidity position. Can you maybe just remind us what the driving motivations were behind those moves during the quarter. Just kind of interested on your thought process there.
Donald R. Lindsay: I'd say a couple of things. One is we are looking at weak markets for the next couple of quarters as we indicated on the coal side. We had significant capital expenditures related to Fort Hills. And we want to make sure that we go through with the cycle and come out still in a very strong condition. The bank market was very much in our favor. And as the availability was there at very attractive costs, so it was something we decided to take advantage of. Scott Wilson, you may want to comment more about sort of what are our levels, relative to competition and others sort of factors that we looked at before we decided to do that.
Ronald A. Millos: I'll take that, Don. It's Ron. Our level of our revolving line was a little bit low compared to some of our peers, so we're now in sort of about the middle of the pack. So that's where we're sitting right now.
Operator: The following question is from Oscar Cabrera of Bank of America Merrill Lynch.
Oscar Cabrera - BofA Merrill Lynch, Research Division: I'd like to start with -- you had very helpful comments with regards to the -- what your thoughts on supply-demand balance is on the coal market. I was -- and I believe with my -- I see my notes right here, you alluded to the fact that you thought the market was oversupplied by 35 million to 40 million tonnes. I was wondering if you'll maintain those views?
Donald R. Lindsay: Réal?
Réal Foley: Yes, the market is oversupplied. And we think -- there's been roughly 20 million tonnes of cuts announced to date. We think that there is a requirement for an additional 10 million tonnes or so. And you can understand we're not trying to imply a level of accuracy around that number because there's a number of moving pieces, and those are inventories that still need to find their way through the system. Of course, when plants are announcing closures, they also had inventory and they still need to push through the system. We've also seen increased, I think, Don alluded to that earlier, from Australian seaborne exports. They're up 8 million tonnes year-on-year for the first half. So that is compounding the oversupply. And we've also seen an increased availability of a lower grade coking coal, so-called semi-hard coking coal. And if you look at the gap in the price assessments between the premium hard coking coal and the semi-hard, Platts refers to it as mid-vol 64. That gap has opened, a lot from a low of about $7 in March, at the low end of the market, to an average of about $18 since late June. So that also illustrates or makes it more complicated to estimate with a high level of accuracy, how much oversupply there really is.
Oscar Cabrera - BofA Merrill Lynch, Research Division: Great, that's very helpful, Réal. Then you actually saved me the second question. So I'll ask another one, if I may. On the savings on the met coal costs. In the previous goal, again, you referred to using less equipment to -- but maintaining the same level of production. I think there was a quote in their naming like low -- shorter coal businesses. So what I'm trying to get at here is, do you think that your mining costs are sustainable at current levels? And if not, what sort of level should we be looking for going forward, like '15 and '16?
Donald R. Lindsay: If you're talking about coal only?
Oscar Cabrera - BofA Merrill Lynch, Research Division: Coal only.
Donald R. Lindsay: Okay, Ian?
Ian C. Kilgour: The -- I guess, less equipment being used is as a result of a very strong push we've had to improve truck productivity, the amount of times that we move with each truck per 24 hours. And all the coal sites are working together very cooperatively to improve productivity, and we're seeing that occur at all of the mines. And that's certainly something that we expect to be able to maintain over time and to continuously improve. So that we don't see costs changing significantly in the next 18 months or so, and we're going to have to work hard from that point to keep things moving forward in the face of cost pressures on things like diesel, although we've also got a number of projects out there to reduce diesel consumption and I guess the truck productivity project is helping very much in that one. For example, we're working very hard to improve the pile load, the amount of times carried by each truck by replacing conventional truck bodies with lightweight truck bodies that actually carry more overburden instead of carrying steel around. So we're working very hard to take cost trends as positive as possible.
Oscar Cabrera - BofA Merrill Lynch, Research Division: And obviously, it doesn't include any impact of selenium cost at this point, right?
Ian C. Kilgour: We've given advice what we expect cost to potentially be going forward over the next 5 years. And, of course, that depends on the government approval of the Elk Valley Water Quality Plan, which we have submitted this month. We expect to get feedback on that fairly promptly. The government certainly has told us that it's very high priority for them. And so actual cost will be dependent on both the government's response to our plan and also, I guess, there are continued work to optimize the technology we're using to treat selenium. We have our first plant being commissioned at the moment at the Line Creek operation. And we've also done a number of pilot tests on different Toss technologies and another technology is currently being piloted for the Fording River plant, which is the next one in the sequence. And if that pilot is successful, we expect to be able to trim costs to some degree with that technology.
Operator: The following question is from Alex Terentiew of Raymond James.
Alex Terentiew - Raymond James Ltd., Research Division: I just wanted to start with just a question on Highland Valley. Mill throughput there was pretty impressive, as you noted, 140,000 tonnes per day; especially given that the modernization plant has just been completed. Is this a sustainable rate? Or is this just a high rate because maybe you're in some software or something like that?
Donald R. Lindsay: Ian or Dale?
Dale E. Andres: I'll take that Ian. It's Dale. We're very, very pleased with performance of Highland Valley and the new mill optimization plant and processing plant. Performance in the second quarter at 140,000 tonnes per day really reflects those improvements. And another key aspect of driving that throughput is our mine-to-mill program. And really that's looking at optimizing our blasting, pressuring and grinding practices. And this plant has shown to handle those increased throughputs through our mine-to-mill program very, very well. And a very good recovery at this stage in the startup of that plant. So we're very pleased. Going forward, it really does depend on the mix of feeds from the 3 different pits that receives the mill from Highland Valley. We will see some variation in throughput and grade, depending on those sources. But we're confident that we'll continue if we get similar feeds as we've had. And they are generally reflective of the life of mine over the second quarter that will continue to get those kind of rates going forward. At times, we get very soft material there. This week, we had actually 1 day up to 175,000, and the plant was able to handle that. That's not always going to be the expectation going forward, obviously. But in general, we're quite pleased with that throughput, and we think we can maintain those rates going forward.
Alex Terentiew - Raymond James Ltd., Research Division: Okay, great. Follow-up question, and then -- on coal. Thanks for all your insight on the market today. But -- you're guiding to potentially lower sales in Q3. You're saying at 6 million tonnes or higher. Potentially lower sales in Q3 than you had in Q2. So my questions are, are you seeing more of your customers defer purchases into future periods, maybe due to softening demand or ample supply on the market and a preference to buy them more on the spot market? And related to that, do you have a high level of confidence that your guidance of 26 million to 27 million tonnes will be met? Since if Q3 comes in around 6 million tonnes, you'll have to have a fairly strong Q4 to hit that number.
Donald R. Lindsay: Réal?
Robert W. Bell: All right, Alex. So I guess the first thing on the market. So we're not seeing deferrals from customers. Customers are taking their coal like they should. However, competition in the market is very intense, as you can imagine right now with the market being oversupplied and availability also of lower grade product in the market. So steel makers, as they try to control their margins, also try to use more of that cheaper semi-hard type material. And -- but in terms of our relationships, our arrangements, we have long-term arrangements, long-term relationships in place that gives us a certain level of certainty on volume. And we try to place as much tonnes in the market as we possibly can, while still trying to protect the value of our products in the market.
Ian C. Kilgour: Just following up -- Ian here. Following up on the guidance question. The guidance of 26 million to 27 million tonnes is actually for production, not sales. We don't see any threat to that guidance at this point. And one thing to realize is that we do need to maintain reasonable levels of inventory at the mine and the ports of product because sales, on a quarterly basis, tends to vary significantly. We've seen quarterly sales in the high-5 million tonnes and in the low-7 million tonnes. So to be able to cope with that, you do need a decent level of inventory and we'll be maintaining an appropriate level as we move forward.
Operator: The following question is from Greg Barnes of TD Securities.
Greg Barnes - TD Securities Equity Research: I guess this is for Don or for Réal. It sounds like to me from what I'm reading it, the Chinese domestic coal price is the price setter at the moment. And it sounds like production is going up and prices are going down. Do you have any comments on what is happening domestically in China on coking coal?
Donald R. Lindsay: Réal, why don't you start with that?
Robert W. Bell: All right. So what we're seeing in China, I mean, the current pricing levels, whether it's in China for domestic coal or on the seaborne market for seaborne coal, is putting pressure on all suppliers across the board. I mean, the pricing levels aren't sustainably low right now. What we're seeing specifically in China is domestic suppliers are actually trying to very aggressively protect their market share. Our view, and the view of a number of analysts, is that a number of suppliers are actually supplying coal at uneconomical levels right now. How long can that last? I guess it's, again, a difficult question to answer, especially in China. On the positive side, however, what we're seeing is increased demand in markets outside of China as world economy generally is doing better. So we're seeing growth areas outside China. The European Union, their crude steel production is up this year, about 3 million tonnes and South Korea is very similar. Other countries are also doing well. So, overall, I guess, we receive positive signs outside of China.
Greg Barnes - TD Securities Equity Research: And just switching to another topic. Don, copper M&A seems to be ramping up aggressively. What would be your ideal copper acquisition and if you want to make one?
Donald R. Lindsay: I'm curious about the first part of your question, the copper acquisitions ramping up dramatically. What were you referring to there?
Greg Barnes - TD Securities Equity Research: Not by you, but by the market in general. Las Bambas, rumors about Candelaria, First Quantum buying Taca Taca. That kind of activity.
Donald R. Lindsay: Okay. You're quite right. I was still thinking of those as old news at the moment. But -- and I was wondering if there were some new targets that have come up that I haven't heard about, so I was just hopeful and curious. Well, I'm not sure we can really answer your question, what the ideal one would be. But clearly, we are constructive on the copper market at medium to long term. We feel while we're thankful and optimistic for 2014, that it will be in deficit. And it looks pretty solid at the moment. We still think 2015, there will be a surplus and prices could be weaker then and we'll just have to wait and see. If during that time period a copper acquisition or producing asset -- we don't need another project, but a producing asset in the middle of the cost curve or if it was in the third quartile, as Fording was, but we have a plan that we thought we could get down to the middle of the cost curve or below, then that would be terrific. We didn't want to go too small. So probably your thresholds are -- minimum threshold would probably be in the 75,000 tonnes to 100,000 tonnes range. But all these things are quite hypothetical and conceptual, as you know. And there's only so many targets out there, actually. And the consolidation phase of the industry a few years ago means that most things will be interesting are already held in strong hands. So that's why I sort of asked about your first comment because I'm not sure that there will be that much more in the copper acquisition phase, I think what's done is done. But we'll see.
Operator: The following question is from Kerry Smith of Haywood Securities.
Kerry Smith - Haywood Securities Inc., Research Division: Réal, in Q1, you had contracted for the Q2 on the coal side of 120 tonnes. You did the same this quarter and it's actually for the same volume. Just to rationally, are you sort of thinking that as we move into the back half of the year or into Q4, let's say, the price would likely be the same, given that we're not seeing a lot of the announced cutbacks actually occur? Are you -- I mean, directionally, are you thinking the price could probably kind of stay flat, maybe we're at the bottom here? How are you feeling about it?
Réal Foley: I guess -- I wish I had an answer for you on that. I guess many people wish they had an answer on where price will go. I guess, maybe one way to look at this is we're expecting the demand supply balance to gradually improve, but in order the cuts need to be implemented. For that to happen, we need to see demand continuing to improve as well. And with the inventories that are currently in the system, with the export increases that are coming outside of Australia and the lower seaborne imports from China, I mean, all of these pieces together are kind of delaying a little bit the recovery, I guess, in coal pricing.
Operator: The following question is from Brian Yu of Citi.
Brian Yu - Citigroup Inc, Research Division: My first question is just on the zinc market. As you laid down presentation, prices and interest are moving in the right direction. Are there any projects that you're studying or considering, beyond the Pend Oreille restart, for this year?
Donald R. Lindsay: Short answer is, no. Not at least it would have any effect on our production in the, call it, medium-term for the next 2 or 3 years. We're obviously going to try and optimize the current operating assets at all times and we're having a very good first half of the year at Red Dog, as you've seen. We do have tremendous exploration potential in the Red Dog area. I was just up there last week and visiting some of the sites, but those are going to be for the longer-term. And so currently we're probably going to be tapped out here in terms of capacity once Pend Oreille is restarted.
Brian Yu - Citigroup Inc, Research Division: Okay, great. Second one is just on the selenium. In the disclosures, you talked about submitting the new report. And correct me if I'm wrong, but it talks about having to maintain large treatment for a indefinite period. Has that changed from the expectations previously? And can you share any changes to the CapEx or OpEx in the current plan that's submitted versus the prior draft?
Ian C. Kilgour: Ian here. The expectation is that water treatment is going to be required over the long-term is not new. That's been, I think, well communicated over the last year or so. In terms of costs going forward, as we said, it's going to depend on the government's response to the plan that we submitted. And we can't preempt what comments they might have, although we've had very, very good communication throughout the whole process with the government and the stakeholders concerned, and we think that the plan is a very good one. And I guess the other aspect there is, is technological improvements. As I noted, we're piloting alternative technologies and that may have the ability to help their cost moving forward.
Gregory A. Waller: Brian, it's Greg. The only point I'd add to that is the guidance we gave, now, I guess, 18 months ago or so, is that over the next 5 years, it might grow to be in the range of $1 to $2 per tonne of orders. And that's well within the range of the guidance we gave on our second cost alone, the $52 million to $57 million. So given our ability to forecast costs, it kind of falls within the rounding here of frankly where those costs are going to be.
Operator: The following question is from Alexander Mack of FDA [ph].
Unknown Analyst: Talking about zinc. A year ago, the company said, farmers in China started to use zinc as fertilizer. How are the results? I heard mentioned that as a farmer will use zinc in an area and has a crop increase of 30%, others will follow. That's the question.
Donald R. Lindsay: I'm not sure if I fully understood the question, but I could certainly comment on zinc and fertilizers. The Ministry of Agriculture in China has formally recommended that the farmers use roughly 1% zinc in fertilizers, it varies with the crop and the soil. And that has generated demand, so far, of about 150,000 tonnes a year of additional zinc that hadn't been used before. And we anticipate that, that will rise over time as each crop cycle goes through and more farmers adopt it to as much as 500,000 tonnes a year, and that's very significant in the context of the size of the global zinc market, which is kind of 13.5 million to 14 million tonnes. But it is still early days and still -- they're still working to ramp the learning curve, so I think we'll have to see a few more crop cycles before you really get to the full utilization of it. Does that answer your question?
Operator: The following question is from Steve Bristo of RBC Capital Markets.
Steve Bristo - RBC Capital Markets, LLC, Research Division: Just want to come back to selenium, maybe ask it a different way. Does the draft you've now submitted differ very much from what you outlined 18 months with the $600 million capital cost, then I believe after 5 years is about $40 million operating cost growing to $140 million annual cost after 15, 20 years. I'm just wondering if those numbers are still comparable if their plans are very different.
Donald R. Lindsay: The -- I think we've covered the issue on costs in a couple of previous responses. But in essence, the plan has not changed significantly. We're still envisaging the construction of a number of water treatment plants. The costs have been based on the technology, which we're currently implementing at Line Creek. And the plan is also a -- has an adaptive characteristic in that what is actually required to meet the guidelines for selenium is going to depend on the actual levels of selenium which occur over time in the coming years. And what we've submitted is based on a model which we think is good, but it may vary otherwise. So that's why we can't be too exact on the costs going forward.
Steve Bristo - RBC Capital Markets, LLC, Research Division: Okay. And then the CapEx flow, is that currently in your sustaining capital guidance? And what amount have you sort of allotted for the current year?
Ian C. Kilgour: It is in the guidance for the capital that we're expecting to spend this year. Basically, most of 2014 has been completing the Line Creek plant, which was substantially built in 2013 and the commissioning cost of that and the investigations ongoing to look at the optimum technology for the next plant.
Donald R. Lindsay: Just to remind you that when we first put out that $600 million number, that included the West Line Creek treatment plant, so that's already behind us.
Operator: There are no further questions registered at this time. I'd like to turn the meeting back over to Mr. Lindsay.
Donald R. Lindsay: Okay. Thank you, very much, for listening in today. I'd like to summarize that we are very pleased with the operating results. The sites are certainly delivering, on not just production targets, but most importantly on cost targets and capital reduction. So we're pleased with that, while we wait for the cycle to turn coal. I'd emphasize that the 20 million tonnes of reductions have indeed been announced and though only 3 million tonnes or so have been implemented, the rest of it will be implemented. And with such a huge percentage of the industry operating in a cash negative basis, we do anticipate that the 10 million tonnes of further reductions that we think are needed will occur. We just can't predict the timing. Lastly, I do want to highlight that in this quarter, we had 2 of our projects, the Highland Valley mill optimization project and the Trail action [ph] plan, both started up and they started up extremely smoothly, and I think that's a credit to our project development team and really gives us confidence that we have a strong project development capability within the company. So we look forward to applying those skills when we get the chance to QB2, which is a project that we're still very keen to build, given our constructive outlook on the copper market, medium to long term. And last but not least, we remain excited about zinc as I'm sure a number of you on the phone are as well. Thanks very much. We look forward to talking to you again in October.
Operator: The conference has now ended. Please disconnect your lines at this time. We thank you for your participation.